Operator: Ladies and gentlemen, and thank you for standing by, and welcome to the News Corp. Third Quarter 2012 Earnings Release. [Operator Instructions] And as a reminder, today's call is being recorded. With that being said, I'll turn the conference now to the Senior Vice President, Investor Relations, Mr. Reed Nolte. Please go ahead, sir.
Reed Nolte: Thank you very much, operator. Hello everyone, and welcome to our Third Quarter Fiscal 2012 Earnings Conference Call. Joining me on today's call are Chase Carey, President and Chief Operating Officer; and Dave DeVoe, our CFO. First, we will give some prepared remarks on the most recent quarter, then we'll be happy to take your questions, first from the financial community and then from the press. This call may include certain forward-looking information with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-Q for the 3 months ended March 31, 2012, identifies risks and uncertainties that could cause actual results to differ. And these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements. The definition of and a reconciliation of such measures can be found on our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call such as segment operating income, adjusted earnings per share and adjusted net income, are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of segment operating income, EPS and net income are included in our earnings release. And with that, I'll turn it over to Dave.
David F. DeVoe: Thank you, Reed, and good afternoon, everybody. As you have seen in today's earnings release, we are pleased with our continued progress in fiscal 2012. We reported third quarter segment operating income of $1.31 billion, a 23% increase over a year ago levels. This improvement was led by very solid results at our Cable Programming and Film segment. The current quarter's operating income results include a $63 million charge related to the ongoing investigations initiated upon the closure of the News of the World in the United Kingdom. Also note, the year ago quarter included a $125 million charge related to a litigation settlement involving the company's Integrated Marketing Services business. Excluding these charges from both years, third quarter adjusted total segment operating income of $1.38 billion increased 16% from $1.19 billion in the prior year. Our share reported results from our equity earnings of affiliates were up $93 million in the quarter and after adjusting for gains associated with BSkyB's share repurchase program and adjustments in the prior year primarily related to asset dispositions, at NDS, associated results improved $67 million. The majority of this improvement reflects revenue-driven earnings growth at BSkyB. Reported net income in the quarter was $937 million, with reported earnings per share of $0.38 as compared to reported earnings per share a year ago of $0.24. Excluding the net income effects in both years of onetime items, primarily consisting of the items I just highlighted, third quarter adjusted earnings per share this year are $0.37 compared with the year ago adjusted result of $0.26, a 42% earnings per share improvement. Our press release includes a reconciliation of our GAAP results to these amounts. Now I'd like to provide some additional context on the performance at a few of our businesses. Now, let's start with the Cable Networks. This segment continues to drive overall company results, generating nearly 65% of News Corporation's total segment operating income. Third quarter Cable segment operating income contributions increased 15% over year-ago levels to $846 million, with double-digit earnings growth at the RSN, FOX News, FX, National Geographic and the FOX International Channels. This growth continues to be top line-driven with segment revenues up 16%. Affiliate fees at the Cable Networks increased 18% over last year's level, with domestic channel affiliate fees up 15%, driven by our successful affiliate renewal negotiations in the first half of the fiscal year. International fees were up 31% with about half of the international affiliate revenue increase driven by organic growth and the remaining reflecting the consolidation of the Fox Pan American Sports upon the buyout of our partners in December. Third quarter advertiser revenues for the segment were up 9% over last year level, with domestic ad growth of 10% and international growth of 7%. Although all our major domestic channels delivered year-over-year increases, ad sales increases were particularly strong at the FOX News Channel and National Geographic. On the international side, double-digit advertising growth for the Fox International Channels continues to reflect strength in Latin America and Asia. And at STAR, much of the double-digit local currency advertising growth was offset on a U.S. dollar basis due to the comparative weaker Indian Rupee. In the third quarter, we saw some slight margin compression in the Cable segment. This primarily reflects increased sports programming cost due to the delay of the NBA season and the resulting increase in televised games this quarter, the launch of the Ultimate Fighting Championship, as well as consolidation of FOX Pan American Sports. At our Television segment, operating income in the quarter of $171 million decreased $21 million versus the third quarter a year ago. This decline reflects the absence of advertising revenues and operating profit associated with last year's Super Bowl on FOX. Excluding last year's Super Bowl, advertising revenues at both the network and the stations were aligned with a year ago. We continue to have solid gains in retransmission revenues, which more than doubles in the quarter. At our Film segment, third quarter operating income was $272 million, 10% higher than a year ago. This improved result includes higher contributions from the Motion Picture Studio, most notably from the worldwide theatrical and domestic home entertainment performance of the most recent Alvin and the Chipmunk release, as well as higher Television production contributions that include increased syndication and digital distribution revenues. Year-to-date, we've recognized approximately $250 million in total revenues from our Netflix and Amazon deal. Turning to SKY Italia. Segment operating income in the quarter of $40 million improved $23 million from last year. This improvement primarily reflects higher advertising and subscription revenues resulting from the higher year-on-year subscriber base. ARPU of EUR 42 was in line with the third quarter year ago and was EUR 1 higher than the most recent December quarter. While we are pleased with SKY Italia's financial performance, the challenging economic environment in Italy is directly impacting gross subs additions in churn. As a result, SKY lost a net 86,000 subscribers in the quarter ending, resulting in 4.94 million subs at the quarter end. We continue to have complete confidence in the long-term growth prospects for this business, given the relatively low pay-TV penetration in Italy and SKY's strong competitive position there. But we are realistic and that our growth is closely linked to consumer confidence and consumption, which will be challenging, given the economic conditions in Italy over the near term. In our Publishing segment, operating income of $130 million declined $31 million compared to a year ago when we exclude the prior year's $125 million litigation settlement recorded in this segment. This decrease largely reflects lower advertising revenues at the Australian and U.K. newspapers, as well as the impact from the closure of The News of the World. Declines of these groups were partially offset by higher earnings contributions at Dow Jones and HarperCollins. And at our Other segment, we reported a third quarter segment operating loss of $147 million, $18 million lower than a year ago. This improvement primarily reflects the absence of MySpace losses, partially offset by $63 million of costs related to the ongoing investigations initiated upon the closure of The News of the World. Before I turn to guidance, I'd like to update you on our original $5 billion buyback program. Through May 8, the company has spent nearly $3.9 billion, repurchasing over 220 million shares, reducing News Corporation's total shares outstanding by 8.4%. As I have indicated previously, we're looking to complete this program by the end of this fiscal year. But given current pacing, we may miss this timing by a few weeks. Our objective is to buyback our shares in a disciplined manner without artificially pushing our share price up during periods of low trading volume. Also please note that stated in today's release, our Board has increased our buyback authority by another $5 billion on top of what was authorized last summer. We are targeting to complete, total authorized buybacks by the end of fiscal 2013 by that time, it can fluctuate based on market conditions and other factors. And finally, let me address our guidance for fiscal 2012. And as a reminder, we measure this guidance excluding from fiscal 2011, the $125 million litigation charge resulting in a base of $4.975 billion in segment operating income for comparative purposes. In addition, as we discussed last quarter, we are excluding cost of the U.K. investigations from our guidance for the full year due to their uncertain nature. These costs, which are predominantly fees to outside lawyers and advisers, could total approximately $167 million for the first 9 months of this year. After excluding the full year effect of the U.K. investigation cost and based on all of the assumptions inherent in our projections, we expect that our total segment operating income percentage growth rate for fiscal 2012 to continue to be in the low to mid-teens range above the $4.975 billion fiscal 2000 segment operating income base level, with a bias towards the lower end of that range. I recognize that this growth forecast may appear rather conservative given the strong results generated in our first 9 months of fiscal 2012. However, there are couple of factors that will impact our fourth quarter comparative results. While our Film results have exceeded last year's results every quarter so far this fiscal year. As we previously mentioned, our forecast that we do expect a significant decline in the upcoming fourth quarter compared to a year ago. This reflects difficult comparisons to last year's very successful release of Rio and X-Men, coupled with this year's expense of the releasing cost for our 2 big June releases and the early July release of the next Ice Age installment. Additionally, the advertising markets at our international newspapers have continued to be soft. And also as we indicated last year, the Publishing segment included contributions from the 53rd week, which does not recur this year. As a result of these factors, we are expecting both our Publishing and Film segments each be approximately $125 million below last year's fourth quarter results, which will contribute to the reduction on the growth rate from the 9th month growth rate of 20%. And with that, I'd like to turn the call over to Chase for his comments.
Chase Carey: Thanks, Dave, and welcome, everyone. Before I discuss the financial and operational strength reflected in last quarter's results, I want to take a minute to address our issues in the U.K. As we said, we take these issues very seriously, and our Board of Directors and management team remain committed to keeping the company on the right track for the future. And lots of work has already been done toward this end. The select committee report delivered hard true, most of which we openly acknowledge. However, I flatly reject the Rogue Report's notion that Rupert is unfit to run a major media company. That's unjustified and in many people's opinion, including my own, a purely partisan findings. Rupert has taken great business risks, especially in the U.K., where he's led News Corp.'s heavy investment, building Sky, creating great confident choice to 10 million homes, and creating 19,000 jobs. We invested in The Times and The Sunday Times titles that were nearly out of business before Rupert made the decision to save them. He's one of the smartest, most forward thinking executives of our time and both the board and I rebuff any notion that he is unfit to run this company. With that said, let's focus on the quarter. As Dave said, our overall performance in the third quarter illustrates we're executing on plan to achieve our objectives of not just building but really bolstering our global content in Channels business. Our Channels business is a growth business, still in its evolution and we're committed to investing in content to strengthen our leadership position. We're not merely going to focus on squeezing the margins. We want to truly lead and to do so we're going to invest today for big returns tomorrow. Examples of this include our investment in the UFC, the Ultimate Fighting Championships, our spend in original productions and our renewed commitment to acquire more movies for our FX franchise, and overseas, in India, our recent investment in BCCI, the cricket rights. I believe firmly that these rights will add a whole new dimension to STAR's business. Other examples of investing in content includes the moves we've made at National Geographic Channel, where the new management team we've installed has boosted ratings and profits, with ratings up 40% year-on-year, driven by a great slate of new programming. In August, we're launching our Spanish language -- U.S. Spanish-language network, MundoFox, already on target to reach 75% of all U.S. Hispanic homes. The demand is driven by one thing, great programming and stations believe that we fully understand how to use content to attract a highly valued, highly sought-after segment of the U.S. population. Additionally, we're devoting capital to further boost our TV libraries, with such breakout hits as Homeland, New Girl and American Horror Story. Simply put, if we have the right content then we not only maintain the value of the bundle, we can grow it. In today's diversified world of global media choices, we know that having superior programming is a must, and that's a cornerstone of our growth strategy and a key to delivering real returns to our shareholders. We're also making progress in addressing our almost $15 billion in off-balance sheet businesses. In some cases, like Latin American Sports, we're buying out partners to take control. In others, you'll see us divesting, monetizing assets that don't support our strategy of growing our content and channels business. NDS is an example of this, where we've agreed to divest our 49% interest. Great company, but not one that fits into our overall long-term plans. I know you're interested in what we're seeing in the ad market, on national broadcast scatter, we're seeing solid market current pricing of low to mid-teens above last year's upfront, and June quarter cancellations were in line with historical averages. On the Cable front, current scatter is healthy with entertainment scatter up midteens. On the local side, the markets are a bit softer, and we're seeing a mixed pacing with heavy auto spending offset by declines in other categories. In closing, before I move to questions, I want to comment on our additional commitment to another $5 billion buyback on top of our previous $5 billion pledge. This buyback is yet another illustration of our deep commitment to our shareholders to maximize value by achieving our capital deployment objectives. We believe that these kind of commitments, along with the growth and success of our core operations, will continue to ensure the long-term strength of the company. And now we will take questions. Thank you very much.
Reed Nolte: Operator, we would like go to questions from the investment community now, please.
Operator: [Operator Instructions] First we'll go to Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Chase, I was hoping you could provide a little more color on the growth potential for Cable Networks, funny enough, it was your domestic networks that led the growth this quarter. International is only single digit, right? So it looks like you have some visibility on the FOX News renewal cycle. Can you give us a sense how long that renewal cycle will last? And once it's done, do you see enough growth drivers in domestic to sustain healthy growth? And then on the international side, should investors expect you to grow in line with the marketplace, 10% to 15% subscriber growth internationally or faster than the marketplace and a faster-- any sense of drivers would be helpful?
Chase Carey: Yes, I guess, I mean, domestically, I mean, I guess, it's really true around the world. I mean, I think those Channels businesses, like you said, we feel great about them. And they're pretty much on track on all steady front you want to look at it, I think, certainly, from the U.S. pretty much right on course. I think, we've talked, take, FOX News, I think, what we -- I think, essentially, by the end of this calendar year we're in, probably about half of FOX Universal will be up for renewal. Obviously, that's the immediate focus, but that's the lead path to come. So clearly, we're working through those cycles. Other channels, again, continue to come through. I've talked before, and I still continue to believe, we've got real room to grow there. Again, just whether it's based on 2 matters, strength in the case of something like FOX News, which again is a uniquely strong and important channel and, therefore, that's why we're capitalizing there. Channels that I still don't think competitively, whether we can or should, which should be FX, which I think is really carved itself as a true leader in the entertainment space and, clearly, it has a lot of room to grow and it looks at peers it competes with and I think it's a channel that just gets stronger as it goes. Or a channel like National Geographic, that touched on, that clearly, again, when you look at some of the players in that segment has a lot of room to grow competitively. So, I think for us, and then actually stuff like Ichea [ph] as I said, one of the attractions is, if we can grow, we're not adding -- if we can sort of drive the affiliate rates to more competitive place and take advantage of the growth in the advertising side by getting ratings to where they are in Nat Geo. We've made some strides but, clearly, channels like that, I think we're even close to it than where we can be or should be. I think the international business, we believe, we have the unique position of leadership and we should lead the market. And it is why you see us continue to make investments into that market, whether it's BCCI in India or sports in Latin America or just general rights that we've acquired like we did with Atacha [ph] a couple of months ago. And I think we're very excited by potential of that market. That market, other than, certainly, I can go to that southern segment in Europe, clearly has headwinds, certainly from -- look at those from those big developing regions of Latin America and Asia. And we think there are truly exciting opportunities, we think we have unique brands, unique strengths, unique content, unique expertise. And we think with the position leadership we could -- we should capitalize on. I'm not going to get into what are the new rates, but clearly we believe we should be a market leader. The market leader in those international markets.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: So, if I summarize all that, is it fair to say that investors should expect double-digit EBIT growth to continue as far as I can see, is that fair?
Chase Carey: I'm not going to get to projecting, just give a specific growth rates in those markets. We feel great about these business. They are on track. If fairly marketed, we expect to be leading these markets.
Operator: Next question is from Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I have a question for Dave on the balance sheet. I think that you've historically said that your goal for the balance sheet is to have 2x to 2.5x gross leverage. And I think you're roughly 2x now. If you think about the cash position over the next year, between free cash flow and the NDS proceeds, cash would be roughly $15 billion before this buyback, which is very welcome. I just wondering if you could address of what you'll do with those cash proceeds? And you expect to have more proceeds from BSkyB, do you see you'll have to sell that down, can you address any other acquisitions whether it's education or something else?
David F. DeVoe: Well, we just told you with $5 billion of the $15 billion is to buy back our stock, Jessica.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Right, so there's $10 billion left?
David F. DeVoe: You are right with respect -- I think the gross leverage at 2x to 2.5x is basically, is probably a reasonable leverage for us and if you would strip out all the cash we get, I think everything you said is correct. And I think we just opportunistically going to have a look at how we access our -- how we utilizer our capital.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Can you say anything about the potential to have to sell down part of SKY?
David F. DeVoe: I don't know.
Chase Carey: We have no expectations in place, just to sell down SKY at this time.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: The other part of the question was about possibly making acquisitions in education?
Chase Carey: I mean we're today we're investing, it's more investing and building it, I mean it's not, I think, at this point, that is the focus we made and acquisition is foundation. But our investments -- we are investing in education, but it's investing in building the business, which really means we are essentially as with any business you are starting-- with building it's losses you're taking as you're building the business up. Maybe it's a small acquisitions that you tag on. But again the primary investment is building the business, our primary investment today is building the business. I think touched on the side, I said last call, I think this year $75 million to $100 million investment, which is really a loss for bookings that investment in building the education business.
Operator: And we'll go to Richard Greenfield with BTIG.
Richard Greenfield - BTIG, LLC, Research Division: First on Sports Networks, there's been a lot of discussion about what you all may be planning to do in terms of broadening out the scope of your Sports Networks. Could you give us a sense of how you're thinking about that? And then just a housekeeping question for Dave. I think you mentioned that you backed out the FSI charge from last year that your Publishing OI was down about 20% year-over-year. But within that is obviously the closure year-over-year for the first time of News of the World. Could you give us a sense of organically, within that overall Publishing division, if you left out News of the World, what does the revenue and OI year-over-year rates look like in terms of increase, decreases?
David F. DeVoe: Europe? [indiscernible] The OI basically will be stripped out News of the World but have be flat for the quarter. That's certainly not representative of as to where we think the year is going to be, where that segment will be down, I'm not going to give you a number, but it will be down significantly from where it was a year ago.
Richard Greenfield - BTIG, LLC, Research Division: Is there a reason why the Q3 was reasonably flat relative to the full year?
David F. DeVoe: We had some offsets in the quarter -- you had reasonably good earnings growth from both Dow Jones and HarperCollins.
Chase Carey: And on the National Sports, obviously ,with some of the press-- I guess I'd say the press rally was a bit over blown. Look, the reality is that we are in the National Sports business. Today, we have channels, we have Speed, we have FOX Soccer we have FUEL. We have, there are more syndicated sports and I guess we always do, we're looking and we have to get big sports business in the regional side, I think. So we have some national franchises, regional franchises and, I guess, still we're looking at ways what's the most intelligent ways to maximize the value and the opportunities inherent in it. I think that there are great people connected at ESPN they could just probably, again, more of a media having fun, ESPN see these business. We like sports plays that we can do things that make sense to add dimensions to our Sports business, we would, but I think it's much more focused on the franchise that we have and how do we maximize the value and the potential of those businesses.
Richard Greenfield - BTIG, LLC, Research Division: Has your view of the single sport network changed?
Chase Carey: I think it's always changed, give me a couple years, it always changed a bit. I mean, yes, I think there's pros and cons, to me it's how you -- I think they're still a place for them. But obviously, sports channel with multiple sports, probably has a bit more potential to because of the nature of it to just touch a few more people and bring in more of the marginal fans, so I mean, obviously, you have to be able to program it intelligently and to be able to make sense to that. And I think we have we don't have any plans so, today, I think what I've said is, we're evaluating things. And if there's something that makes sense, then we do it. If there isn't -- so if we like the business, yes. but I think this would only be simply -- we saw there's something to add, add dimension to it and we certainly explore it if not we like the businesses we have and we can certainly take them forward. So, yes, maybe there's a role for both. But I don't think -- I wouldn't say there's a dramatic shift, I think there's -- but I think there's a role for both.
Operator: And that's from Ben Swinburne from Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Two. Just on the guidance, first, so we should start the 4 9 7 5 and then that grows low teens including or excluding the impact of the $167 million charges to date. Is that the right math?
David F. DeVoe: That's correct, yes.
Benjamin Swinburne - Morgan Stanley, Research Division: Okay. And is there anything else, Dave, in the fourth quarter beyond what you called down Newspapers and Film or Publishing and Film that impacts the quarter? My math is just sort of flat to down.
David F. DeVoe: Those are the 2 principal items. Obviously, we're a dynamic business, so we've got other small items.
Chase Carey: [indiscernible] I mean, I know it's going to be down year-on-year, against it's ratings. You got some headwinds and the economy in Italy that Dave touched on, those 2 items are sort of at a level that is unique but they're always-- it's a tough business as you go across this and there'll be other items.
Benjamin Swinburne - Morgan Stanley, Research Division: And advise to the low-end of the low teens is was what you said, right?
David F. DeVoe: That's correct.
Benjamin Swinburne - Morgan Stanley, Research Division: Okay. Great. And then Chase, are you sort of -- is there an explicit strategy to sort of monetize the unconsolidated assets, either buy more or exit, I mean you've done NDS, Hathaway, you've got some others. I'm just curious one of the clear sort of areas of value will be good on the stock is on the unconsolidated assets, I'm curious if that's something you guys are explicitly now executing as a strategy or if it's still sort of individual case-by-case?
Chase Carey: No, actually I think, I mean first, I think, and I think I've actually said it on prior earnings calls that I think we should be with these off-balance sheet businesses moving to either own or operate or monetize. Now, I've always qualified that by saying we don't want to put time frames to it or create pressures that don't let us maximize value. The businesses we're in that we're quite comfortable with where we're at. So I think it is an objective, but I call it a very -- it's an objective and a goal without a specific timeframe or target to it. I think and particularly for businesses that we feel -- this is what we do, we like where we are and we may well be there for a while. But I think we have been more explicit where we've been historically of saying we think the right place to be is to own and operate or monetize. So there'll be a lot of issues that you don't -- you don't execute it as a short term.
Operator: We'll go to Alan Gould with Evercore Partners.
Alan S. Gould - Evercore Partners Inc., Research Division: I've got a question on digital distribution. Dave gave us that the revenue was $250 million for the 9 months. I was wondering if you can give us what it was for this quarter versus what it was for the same quarter last year? And Chase, I was wondering if you can tell us if you've seen any impact on ratings or any pushback from the distributors to the digital distribution deals?
Chase Carey: Well I guess on the ratings, I would say, I wouldn't -- I guess getting any relative set backs so I guess if you took-- and there's different types of digital distribution. And take that -- I guess take something like Hulu, which can be concurrent, and there's no question you get some viewership whether it's DVRs or catch-up, there's more viewership and more streams of an episode in television I don't -- so I think the places people are finding shows again the biggest thing that could be DVRs but clearly people finding viewership in other places. The core channels, don't know what you're talking about it, and particularly, the Netflix issue and the like, it's I mean it impacts on channels. I wouldn't say so. In some places we're looking to buy. We buy film packages today where traditionally essentially buying the digital rights, so if they are SOD [ph] rights attached to a film, we're trying to capture those. And I think the channel you probably want to continue to own the broadest set of rights you can so that there are digital rights to exploit -- you're exploiting them. So in some ways like FOX Network, but if a Fox Network show gets shown on Hulu they're capturing the ad dollars so it becomes, I think, in many ways if you look out over time, you're going to have shows premier, live on the network but in many ways people, some are going to be view live when it's showing in the networks, some are going to be view it in DVRs, some are going to view it on a various forms of electronic media, whether it's to TV Everywhere or through a service like Hulu. But for us, what we're trying to do is capture as much of that viewership and the value of that viewership in the right way. So I don't actually view that as a dilution of viewership, I think that the reality is people finding it in different places and us making sure we're capturing the value of ad content-- controlling the rights that are right, capturing that value, capturing that value with that viewership, if it cuts costs, that's great. It's different when you get into probably things that are library services in terms of what type of what rights do you own and do you own rights that -- if you own the breadth of rights you want so people aren't finding alternatives through digital media. And, again, that's why something like FX, we're buying movie rights to not create -- this quarter, I mean, clearly it's growing, I don't know, to be that precise but we're probably, this year, in this quarter, we are probably up $25 million to $30 million from a year ago in the digital packages.
Operator: We'll go to the line of David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: Two questions. The first one is you indicated, Chase, that retransmission consent dollars were, I think, up year-over-year double or something like that. Could you give us a sense of where we are with reverse comp? And given that it's probably pretty early for revenue, can you update us on what percentage of the affiliate base is at least contractually locked in to start contributing something? And the second question is, a difficult thing, in that you don't want to negotiate publicly, but can you give us a sense in the context of the FOX broadcast Idol ratings. What kind of ratings guarantees do you think you make given the performance of Idol? If you could just give us a general sense of which way you expect ratings to go, I guess.
Chase Carey: I'll come back, I'm not sure followed your Idol question, but I'll come back to it. On retrans, not sure that was, I'm not sure it was, I guess, it is about double this year. The affiliates side of it, which I think was the heart of your question, retrans is where we are in the affiliate sort of side of the retrans that are sort of essentially payments for the retrans, for the affiliation rights. And that clearly behind where we are in retrans. It really is something that we have some but it won't -- it is going to pick up a lot. I think the vast majority of our we have this significant portion, I think it's probably about -- i think, what is it? About half the, I think, this by the end of the year about half the affiliate body will go through an affiliate renewal that enables us to put in place a structure that recognizes the value of our programming. And I think by the end of the following year, we get up sort of closer to 70% to 80%. So we've had some, it's been small, it's probably that is a bit of a tail behind the core retrans we've done through the ONOs and it will pick up a lot. So, I think, between now and year-end, a lot comes through and then there's another block in the year that follows. So in the next 6, 12 to 18 months, the majority of the affiliate body will roll into agreements that help recognize the value of the programming we put forward and it will be a pretty sizable chunk that comes in this calendar year. On Idol, I didn't understand...
David Bank - RBC Capital Markets, LLC, Research Division: I guess the question is given the ratings have been pretty weak, right? as you enter the up fronts, you are going to have to have certain audience guarantee levels, like what is -- is this -- how do you view the prospects for ratings next year?
Chase Carey: I mean Idol, didn't -- I think I did say the last quarter, Idol didn't perform what we hoped this year. But realistically, before sort of jump on it, it is, I think, even with the Super Bowl, it just has with Voice and Super Bowl package, the Idol just past The Voice to go back to being the #1 show this year. It's a big profitable #1 show. It was down more than we would've liked this year. But it's a big valuable franchise and makes a lot of money. We certainly think we've got a lot of life left in it and I think our challenge is for next year is to put some fresh energy and I think we did well a year ago, probably not well enough this past year to find ways, then probably learned a bit that as show and clearly it's finishing whatever its 11th year or something -- but probably to make sure, each year, we're adding enough to it. So I think there was a year ago with the changes in the judges and the like, and I think some people running the show who came back with a lot of pressures to the fresh feel, probably didn't do enough this year and that's probably the lesson. So I think we need to find and make sure we, next year, give that show enough energy and excitement to sustain it. Now the reality is, yes, it's an 11-year-old show. But the reality is, it's the #1 show in television, it makes a lot of money and it is certainly, we look at as we go into next year, the centerpiece for the network and we're excited about the potential of it. And I think we will be negotiating with advertisers about it.
Operator: We'll go to Adam Alexander with Goldman Sachs.
Adam Alexander - Goldman Sachs Group Inc., Research Division: Just a question on the buyback. So far you've only focused on buying back the Class A shares. Wondering if that's going to continue? And as part of that, what plans do you have in place to reinstate the foreign shareholder vote back to 100%?
David F. DeVoe: The current plan is to continue to buyback the nonvoting Class A share. And with respect to the foreign ownership, it will be measured time to time and to the extent that we can put back part of the vote, we won't. To the extent we can't, We won't. I mean, it's a point that we have in place to deal with the issue with respect to our television license in the United States.
Adam Alexander - Goldman Sachs Group Inc., Research Division: And you think there's a timeframe you can put on that, Dave?
David F. DeVoe: I'm sorry, timeframe with regard to what?
Adam Alexander - Goldman Sachs Group Inc., Research Division: Getting the shareholder vote back to 100%. I mean how long do you think or what process do you actually have to reduce the foreign ownership back to the level required by the license.
David F. DeVoe: There's no timeframe on it. To the extent that the shareholding we change is would be more shareholders buying the voting stock and it would allow us to let more of the foreign shareholders vote. But it's a function of that, there's no other plan.
Adam Alexander - Goldman Sachs Group Inc., Research Division: And in changing, David, the buyback to buy back the voting stock, would that have any impact on it?
David F. DeVoe: It could, but not that's not what our focus is at the moment.
Operator: And we'll go to Jason Bazinet with Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: Just have one question for Mr. Carey. Seems like the investment community's gotten comfortable with sort of the litigation expenses. But I was just wondering, as you sort of fast-forward to the next reporting period, presumably you guys give guidance, is there anything that you sort of see on the horizon that could cause the investigation to sort of spillover into the operating metrics, specifically, I'm thinking about indications that advertisers are pulling away or anything that you could sort of think that might be on the horizon that would influence your guidance for next fiscal year?
Chase Carey: Really, in all honesty, we've seen nothing. And I can't imagine, I guess I'd be shocked if there was, I mean, I'm certainly seeing nothing today.
Operator: And that's off from Barton Crockett with Lazard Capital Markets.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: I was interested in the step-up in the domestic affiliate fee growth, 15% from 9%. Was wondering if you could tell us a little bit about how much of that step up was driven by FOX News versus the RSNs? And as you roll in more kind of renewals over the balance the year, is there potential for that growth rate to step up even more over the next few quarters?
Chase Carey: Yes, we feel very good about where we are in affiliation. I guess I've always felt that kind of look at on a quarterly basis is not the greatest practice, I mean, because the renewals you can end up with, we're right on track so I'm not trying to detract from it but I'm not going to break down channel by channel, how does it fall out and clearly renewals. In fact, we've said in the past we've had historically sort of in 10% plus getting low double digit in affiliate growth than we usually look out it over -- as we look at it over as the next few years and we continue to be confident and I feel confident about that growth, it's about the mix of channels there. But I'm not going -- we're not going to break of the channels down. I think that said, there are channels that obviously has bigger growth. I talked about FOX News and the fact we see unique strength and we see unique value and were going -- that's it, we're going to renew half the channel between now and half now and the year-end. So there's certainly that's a meaningful part of it but, you know, the company CapEx is doing great as well. But I think, in general, again, this is one you really ought to look at over a bit longer time period it takes some of the bumps that can go in and out in the quarter, and out of it.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: If I could just follow up, you said you're renewing half of distribution between now and the election.
Chase Carey: I mean that's what we've done, so it's not all renewing. Essentially, in this recent cycle, again, we've renewed and will renew about half by the end of calendar year.
Barton E. Crockett - Lazard Capital Markets LLC, Research Division: So there's more to come, it's not all done yet?
Chase Carey: Yes.
Operator: And we'll go to Spencer Wang with Credit Suisse.
Spencer Wang - Crédit Suisse AG, Research Division: I guess for Chase, a question on Cable Programming and the pay Television business. Chase, you sat on both sides of the bargaining table as CEO of DIRECTV, and now running a very large cable programming group. And you alluded to preserving the bundle, yet it seems like every cable network group is aggressively trying to raise affiliate fees. So I was wondering if you could just speak about how you strike the right balance in terms of maximizing your affiliate revenue while preserving the bundle? And if I could just, on the topic off-balance sheet assets, Hulu, if you could just update us on how that fits in and the strategic direction there? [Technical Difficulty]
Chase Carey: I think the question was on the bundle, so I guess that we can follow up and I would assume everybody's on the call to but we apologize unfortunately somebody stepped on the wrong switch on one of those extension cords. I guess, 2 responses to the bundle. I mean first from our perspective, I mean we're going to get competitively what we think is fair price for our content. And expect the only way we can run this business is to get our fair share. So that is our job and that's what we're going to do and if we do a good job and create channel for that real value, we should get a what is our fair competitive rate for our channel. I think in terms of what pressure does that create on larger bundles, I mean, so OSI [ph] is not going to subsidize it but I think we keep our eyes -- we're aware of the discussion, aware of the issue. If you think still to date it is an issue that really you don't see in the core business. I think the value of this bundle is set on and it is getting sales one that is tremendously for people [indiscernible] lose sight of it, there are two sides to the price of this bundle. I mean it's not -- there's the content and channel side and the distribution side, you're right, I used to sit on that side of it. The one thing I know from sitting on that side of it is there are big profitable business is over there so this is not about somehow you've got somebody on one side of and the other that can't afford to go outside, I understand people have pressures and we want this be healthy for everybody. But this is a good business model for both. I think that's one of the reasons why we believe TV Everywhere is an important solution to -- because one of the ways to deal with the cost is to make sure we keep making experience better and richer and a customer gets new things, able want to find content on new devices and the like, and I think it's important that we do enrich that experience and make sure-- the customers always rather pay less but at least for what-- to the degree that we -- I think one of our challenges is to make sure we continue to make that experience better and better for them by enriching this. But actually I do still think it's pretty good value. So not immune to it, and I think we'll continue to sort of do what we can to address it. I do think TV Everywhere is the primary initiative through which we would try and address it by again adding value to it as the cost goes up. But I think the power and importance and, ultimately, really the value of this bundle given the time people spend with it, making it a really good and important proposition for consumers.
Spencer Wang - Crédit Suisse AG, Research Division: And just on Hulu, Chase, in terms of any update on kind of the strategic direction and how it fits in given the off-balance sheet opportunistic strategy there?
Chase Carey: I'm going to say I mean the off-balance sheet, but I don't -- I'm not sure the off-balance sheet part of it focus on. I mean, I think for us it is, I think, the focus is really how do we continue to develop that as a digital franchise that enables us to add dimensions to the content and channels businesses we have. I think it is, as I said before, it's a reason we did put forward with the sale of the business is there's no question, these digital platforms are going to be a driving force in our business going forward, real opportunities. If we can manage it properly, and I think that's the focus is we need to make sure we have rules and discipline by how we deal with it and what we put in there and what terms. That it could be a real -- I mean there's real opportunity to add a whole a new dimension to our business and something that enriches the whole, both on a content and the networks perspective. That's where the focus, not anything in terms of the balance sheet interest.
Operator: We'll go to the line of Tuna Amobi with S&P Capital IQ.
Tuna N. Amobi - S&P Equity Research: So I don't remember your last time SKY Italia lost this many subscribers. I was just trying to get a sense of if anything has structurally changed in that market? What's the competitive situation there and where the subscribers are going, just to get a sense of how that business is kind of shaking off? And the other question was the question if I could squeeze in the question on the situation with -- I'll take the question after the answer on the SKY.
Chase Carey: Yes. I mean I think in Italy, I'm not a historian, but I think what has changed is clearly the Italian economy is going through an incredibly -- the Italian population is going through an incredibly difficult time that has people obviously concerned about the future with -- and I think probably unique in decades. Again, I can't say as I'm not an economic historian but I think this is probably one of the most challenging periods of time the Italian economy has faced in decades. And it really started last year, probably really started to manifest itself in our business in the beginning of this year. But there's the question, consumers are deeply concerned about the short-term future in Italy. What are these various austerity measures and the like, I guess the issues we all hear and read about that are affecting particularly Southern Europe are having an impact. And I think there are people that are -- have a lot of uncertainty about what the future is going to look like. I mean, we believe in the long-term future of this business. We're very confident, I mean, actually competitively, I'd probably say, we're stronger than we've ever been. I mean I think we had -- a few years ago, we had a platform from MediaSet that service launched that competes with us. I think we've actually done a really good job in competing back, and the quality of services is better than ever. But we're going to have to ride through a pretty tough upgrade update, very tough economic period as Italy finds its footing. And I think they have that -- you have to get to a place where the population there has some visibility or understanding on what the future is going to be. And what it think while you're going through this period of austerity with new leaders and policies being debated and election changes and the like, people are sort of hunkering down in trying to again wait for some visibility to what's there. But I think competitive -- the power of this product we feel great about, I think that the strength of this business competitively, we don't have a cable business we compete with, but -- and so I think we are excited about the long-term. But I think we recognize we have tough period ahead of us in the short-term.
Tuna N. Amobi - S&P Equity Research: That's very helpful. Chase it would be nice to get some reassurance that you can continue to grow your operating income in that market. And a housekeeping question for Dave. I guess last first half, you got a benefit from the NBA lockout, which you had expected to reverse. I apologize if I missed that for Q3, what was the number of the reversal and what amount you expect for Q4 on the NBA?
David F. DeVoe: It's $40 million in the current quarter.
Tuna N. Amobi - S&P Equity Research: Okay, is that pretty much done now or there's more to come?
David F. DeVoe: There's a bit more to come in the fourth quarter.
Reed Nolte: Operator, I think, now would a good time to switch over to questions from the press.
Operator: And we'll go to the line of Edmund Lee with Bloomberg News.
Edmund Lee: Chase, you had mentioned in the investors conference a few months back that there had been some internal discussions about possibly spinning off some of the newspapers. Given there's some sort of weakness in U.K. and Australian papers this past quarter, is that another consideration to go moving forward?
Chase Carey: Again, just as I probably, just clarify what was said. I think I know what you were talking about, I mean, I was asked was I aware, was I aware that there was investor interest in us potentially spinning off the Publishing businesses and my answer was, yes, I was aware there was investor interest and us doing so and in my responses we take that seriously. As we should both as management and board, we discussed that and other strategic options. As I said, and it would still be true today, we don't have plans to do to do-- you know we don't have plans do that. Our focus is on getting these businesses, I mean, obviously, we still have some headwinds and they talk about the challenge Publishing business in this quarter. Getting those business is in place. We've got new management teams that are got a good plan in place to drive them forward. So our focus is improving those businesses but we're aware of the issue and we appropriately discuss it in a focus on other things that we are appropriately should discuss as a board and a management team.
Operator: We'll go to the line of John Jannaron with The Wall Street Journal.
John Jannaron: With regard to BSkyB, when you talk about the way you look at an asset and believing that if you can you'd like to be an owner and an operator, how long are you willing to wait for that? I mean by that I mean is there a point in time when you might consider doing something else with all the cash you have invested like buying back your own stock. It looks like the market's pretty happy with what you announced this afternoon based on what stock was trading. So is there a point in time when you might start thinking about other options if you're not able to move forward?
Chase Carey: Let me be clear first, we are not reserving an option there today. I think we said I've said in the last couple of calls, we are not expecting any sort of the short to medium term to be doing anything other than maintaining our interest in BSkyB. So we're not managing, we're sort of going to go forward, assuming we're not doing that. So it's a perception somehow we're taking actions that have that in the planning process. That's not the case. In terms of owning it, again, I probably some of this is what I said before. We're not to put timeframes to it. We like that investment. We like that business. Obviously, we tried to buy that business. So it's an indication of our commitment to and belief in that business, you got a great management team that does a great job. We've sat with it's stake now for 20 years, so clearly we have waited for a long time. We're not going to put time frames to when we may or may not, I recognize the statement not backtracking on this statement, we rather own and control or monetize but equally we'll reemphasize the statement I made that there's no timeframes to that. And the different assets in different businesses, we may end up saying those are positions that for reasons override the desire to monetize their own and we'll finally stay the course. We've been comfortable staying the course with BSkyB, in for a long time here, and I think that's where we are today. So our focus on BSkyB is going to be to continue to be a shareholder that helps it to fulfill its potential, proud of what that company's built and excited about its future.
John Jannaron: Okay, that helps. Just one other a thing, can you tell me if he given any consideration to James stepping down either from the News Corp. board or from BSkyB?
Chase Carey: No, not.
Reed Nolte: Operator, I think we have time for one last question.
Operator: That will be from the line of Andrew Edgecliffe-Johnson with the Financial Times.
Andrew Edgecliffe-Johnson: Could you just clarify for us the process of renewing your licenses with the FCC and the timeframe there? And also, did you get any feedback from them on the fact that you're foreign ownership and as high as 36%, which I imagine didn't happen overnight.
Chase Carey: We -- I don't know, right now I don't know all the stations for subset stations. I mean, I do know the cycle. There's a cycle you go through that is up over multiyear, how long -- Dave thinks it's every 10 years. I don't actually know what it is but I know it's not 1 or 2. But you go through a renewal process we went though and I guess it's part of that process we went through and there are corporate steps, discovered we had the issue and address it. I think -- I think that.
Andrew Edgecliffe-Johnson: [indiscernible] It got so out of whack, how did you not notice that it got up so high?
Chase Carey: I think we did obviously. That's what we did. We went through the study and then we buy.
Reed Nolte: Thank you very much, operator. I think we're all set for today. If you have any more questions, please call us in Europe later on.
Operator: Ladies and gentlemen, this conference is available for replay. It starts today at 6:30 p.m. Eastern time, will last until May 23 at midnight. You may access the replay at any time by dialing (800) 475-6701 or (320) 365-3844. The access code 244401. That does conclude your conference for today. Thank you for your participation. You may now disconnect.